Operator: I would like to welcome everyone to the Greystone Housing Impact Investors LP, NYSE ticker symbol GHI, First Quarter of 2023 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. During this conference call, comments made regarding GHI, which are not historical facts are forward-looking statements and are subject to risks and uncertainties that could cause the actual future events or results to differ materially from these statements. Such forward-looking statements are made pursuing the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements can be identified by the use of words like may, should, expect, plan, intend, focus and other similar terms. You are cautioned that these forward-looking statements speak only as of today's date. Changes in economic business, competitive, regulatory and other factors could cause our actual results to differ materially from those expressed or implied by the projections or forward-looking statements made today. For more detailed information about these factors and other risks that may impact our business, please review the periodic reports and other documents filed from time to time by us with the Securities and Exchange Commission. Internal projections and beliefs upon which we base on our expectations may change, but if they do, you will not necessarily be informed. Today's discussion will include non-GAAP measures and will be explained during this call. We want to make you aware that GHI is operating under the SEC Regulation FD and encourage you to take the full advantage of the question-and-answer session. Thank you for your participation and interest in Greystone Housing Impact Investor LP. I would like to turn the call over to Ken Rogozinski, Chief Executive Officer.
Ken Rogozinski: Good afternoon, everyone. Welcome to Greystone Housing Impact Investors LP's First Quarter 2023 Investor Call. Thank you for joining. I will start with an overview of the quarter in our portfolio. Jesse Coury, our Chief Financial Officer, will then present the partnership's financial results. I will wrap up with an overview of the market and our investment pipeline. Following that, we look forward to taking your questions. For the first quarter of 2023, the partnership reported net income of $0.60 per unit and $0.81 of cash available for distribution or CAD per unit. Our reported net income of $0.60 per unit includes a $3.4 million noncash expense that reflects the quarter-over-quarter mark-to-market associated with our interest rate swap portfolio. That translates to $0.15 per unit in noncash expense, which largely accounts for the difference between our net income per unit and CAD per unit metrics. We are currently a net receiver on all of our interest rate swaps as we receive 1-month CME term SOFR, which is now 5.04% after yesterday's Federal Reserve action and pay a weighted average fixed rate of 2.59% based on our approximately $220 million in swap notional amounts as of March 31. Assuming the SOFR level stays constant over the next 12 months, we estimate that this 245 basis point spread would result in us receiving approximately $5 million in cash payments from our swap counterparties. These cash payments may not necessarily be reflected in our future net income. However, the cash payments will generally be reflected in our reported CAD. We also reported a book value of $15.12 per unit on $1.63 billion of assets and a leverage ratio as defined by the partnership of 73%. On March 15, we announced a regular quarterly cash distribution of $0.37 per unit that was paid on April 28. In terms of the partnership's investment portfolio, we currently hold $1.35 billion of affordable multifamily investments in the form of mortgage revenue bonds, governmental issuer loans and property loans, $111 million in joint venture equity investments and $36 million in direct real estate investments. As far as the performance of the investment portfolio is concerned, we have had no forbearance request for multifamily mortgage revenue bonds, and all such borrowers are current on their principal and interest payments. Physical occupancy on the underlying projects was 94.5% for the mortgage revenue bond portfolio as of March 31, 2023. Two Vantage properties were sold in January 2023, and we recognized $244,000 of preferred return and $15.4 million in capital gains this quarter. Excluding the 2 Vantage properties sold in 2023, our remaining Vantage joint venture equity investments consist of interest in 8 properties, 3 where construction is 100% complete with the remaining 5 properties either under construction or in the planning stage. For the 3 properties where construction is 100% complete, we continue to see good leasing activity and one property has been listed for sale. We continue to see no material supply chain or labor disruptions on the Vantage projects under construction. As we have experienced in the past, the Vantage Group as the managing member of each project-owning entity will position a property for sale upon stabilization. As we mentioned during last quarter's call, we have executed 2 commitments with the Freestone Development group, 1 for a project in Colorado and 1 for a project in Texas. Construction has commenced on the project in Texas. We also executed an $8.2 million commitment to fund the construction of Valage Senior Living Carson Valley, a 102-bed seniors housing property located in Mid-Nevada. Site work has commenced there as well. Our single remaining student housing property at San Diego State continues to have a strong occupancy level and pre-leasing for the 2023, 2024 academic year has begun. With that, I will turn things over to Jesse Coury, our CFO, to discuss the financial data for the first quarter of 2023.
Jesse Coury: Thank you, Ken. Earlier today, we reported earnings for our first quarter ended March 31. We reported GAAP net income of $16.8 million and $0.60 per unit basic and diluted, and we reported cash available for distribution, or CAD, of $18.2 million and $0.81 per unit. As Ken mentioned previously, our reported GAAP net income includes $3.4 million of noncash expense related to declines in the fair value of our interest rate swaps. This noncash expense is added back to GAAP net income when calculating our CAD performance metric and is the main difference between our GAAP net income of $0.60 per unit and CAD of $0.81 per unit. Our interest rate swaps are performing as expected, and we are a net receiver on our interest rate swap portfolio, which generated net cash receipts of $829,000 during the first quarter. Our book value per unit as of March 31, 2023, was on a diluted basis, $15.12, which is an increase of $0.81 from December 31, 2022. The increase is a result of current period net income in excess of our declared distribution and an increase in the fair value of our mortgage revenue bond portfolio caused by the modest stabilization of the municipal bond market during the quarter. As a reminder, we marked our mortgage revenue bonds to market or fair value quarterly. However, such gains or losses do not impact our cash flows or reported net income, except in the case of impairments, if any. As of market close yesterday, May 3, our closing unit price on the New York Stock Exchange was $16.50, which is a 9% premium over our net book value per unit as of March 31. We regularly monitor our liquidity to both take advantage of accretive investment opportunities and to protect against potential debt deleveraging events if there are significant declines in asset values. As of March 31, we reported unrestricted cash and cash equivalents of $52.1 million, none of which were held at Silicon Valley Bank, Signature Bank or First Republic Bank. We also had $83.5 million of additional availability on our secured lines of credit. At these levels, we believe that we are well-positioned to fund our current financing commitments, which I will discuss later. We regularly monitor our overall exposure to potential increases in interest rates through an interest rate sensitivity analysis, which we report quarterly and is included on Page 87 of our recently filed Form 10-Q. The interest rate sensitivity table shows the impact to our net interest income given various scenarios of changes in market interest rates and other various management assumptions. These scenarios assume that there is an immediate rise in interest rates and that we do nothing in response for 12 months. The analysis based on those assumptions shows that an immediate 200 basis point increase in rates as of March 31 that is sustained for a 12-month period will result in a decrease of approximately $823,000 in our net interest income and cash available for distribution, which is approximately $0.37 per unit. The projected decrease in net income and CAD from this analysis is significantly improved from the $0.10 per unit result under the same scenario as of March 31, 2022. This decline is primarily due to our execution of interest rate swaps during 2022 and 2023. And we believe this level of exposure is very low in comparison to our reported net income of $0.60 per unit for the first quarter of 2023 and $2.62 per unit for calendar 2022. I'd now like to share some current information on our debt investment portfolio consisting of mortgage revenue bonds, governmental issuer loans and property loans. These assets totaled $1.35 billion, which is an increase of approximately 6% from December 31, 2022. Such investments represent 82% of our total reported assets. We currently own 78 mortgage revenue bonds that provide permanent financing for affordable multifamily properties across 12 states. The fair value of our mortgage revenue bond portfolio increased by $68 million from December 31, 2022, due to approximately $47 million of net principal advances during the quarter with the remaining increase due to increased unrealized gains. We currently own 13 governmental issuer loans that finance the construction or rehabilitation of affordable multifamily properties across 6 states. Alongside a governmental issuer loan, we will also commit to fund additional property loan that shares first mortgage lean. Our property loans typically fund after funding of the governmental issuer loans is completed. During the first quarter, we advanced funds totaling $28 million under our governmental issuer loan, taxable governmental issuer loan and property loan commitments. And we received redemption proceeds associated with our property loans of $18.3 million. In total, our mortgage revenue bonds, governmental issuer loan and related debt investments have outstanding future funding commitments of approximately $357 million as of March 31. These commitments will be funded over approximately 2 years and will add to our income-producing asset base. We also expect to receive redemption proceeds from our existing construction financing investments that are nearing maturity, and the return of our net capital from those maturities will be redeployed into our remaining funding commitments. In the first quarter, we adopted Accounting Standards Update number 2016-13 or commonly referred to as the CECL standard, effective January 1, 2023, for our debt investments and related funding commitments. Adoption of this CECL standard did not have a material impact on the reserve methodology for our mortgage revenue bond investments, which are accounted for as available-for-sale debt securities and are reported at fair value. The adoption of the CECL standard did have a material impact on the reserve methodology for our governmental issuer loans, property loans and related investment funding commitments, which totaled approximately $686 million as of March 31. For these assets and funding commitments, the CECL standards require a transition from the previous incurred loss model to the current expected credit loss model. This transition to CECL has resulted in a higher credit loss reserve than our previous GAAP accounting. We estimate expected credit losses using a loss rate model that utilizes publicly available data sources, current conditions, and qualitative forecasts that are reasonable and supportable as inputs. Our overall allowance for credit losses upon adoption was $6.4 million. Of this amount, $5.9 million was recorded as a direct reduction to partners capital as of January 1, 2023. The remaining $0.5 million of the initial reserve relates to the Live 929 property loan that carried over from 2022. Our overall reserve is approximately 85 basis points of our total gross assets and funding commitments. In addition to executing our credit loss model, we benchmarked our initial credit loss reserve as a percentage of total exposure upon adoption to peer company reserves, specifically mortgage REITs that primarily lend to multifamily-related borrowers, and we found that our reserves were generally in line with those peer companies. We reported the change in the allowance for credit losses during the first quarter as a provision for credit losses on the face of our statement of operations and a component of net income. Provision for credit losses for the first quarter was a recovery of $545,000, largely driven by the shortening weighted average life of our investment portfolio during the quarter. We have adjusted back the impact of the provision for credit losses in calculation of CAD, consistent with our previous treatment for credit loss allowances. Additional disclosures related to our adoption of the CECL standard are included in Note 2 and Note 13 of our Form 10-Q. Turning to our joint venture equity portfolio. The portfolio consisted of 11 properties as of March 31, one of which is reported on a consolidated basis. The carrying value of our joint venture equity investments totaled approximately $111 million as of March 31, exclusive of the one investment that is reported on a consolidated basis. We advanced additional equity under our current funding commitments totaling $5.7 million during the first quarter. Two of the Vantage properties were sold in January 2023 at significant gains, which continues the trend of significant returns on Vantage Property sales. Upon sale, $12.3 million of our initial capital was returned to us, which we will deploy into other investments in the near term. On the debt side of our balance sheet, our debt financing facilities are used to leverage our investments and had an outstanding principal balance totaling $1.14 billion as of March 31. This is up from $1.06 billion as of December 31, 2022, as a result of leverage on funding of our existing investment commitments and new MRV investments during the first quarter. We manage and report our debt financings in 4 major categories on Page 80 of our Form 10-Q. The first category is fixed-rate debt associated with fixed-rate assets and represents $262 million or 23% of our total debt financing. As both the asset and debt rates are fixed rate, our net return is not generally impacted by changes in either short-term or long-term market interest rates. The second category is variable rate debt associated with variable rate assets and represents $409 million or 36% of our total debt financing. Variable rate indices and floors will vary, but we have effectively protected ourselves against rising interest rates through this matched funding approach without the need for separate hedging instruments. The third category is variable rate debt associated with fixed-rate assets that have been hedged via SOFR-denominated interest rate swaps. These interest rate swaps limit our exposure to increased funding costs resulting from rising short-term interest rates. This category accounts for $315 million or 27% of our total debt financing, and we received net cash payments on our interest rate swaps totaling $829,000 during the first quarter. The final category is variable rate debt associated with fixed rate assets with no designated hedging, which is where we are most exposed to interest rate risk in the near term. This category only represents $160 million or 14% of our total debt financing. We regularly monitor our interest rate risk exposure for this category and may implement hedges in the future, if considered appropriate. We entered into 3 additional interest rate swap transactions in the first quarter. We will continue to evaluate hedging positions to take advantage of the inversion in the yield curve and to synthetically fix our interest costs for new debt investments. I will note for the audience that interest rate swaps are marked to fair value quarterly with such noncash changes reported as interest expense on our statements of operations. This will cause variability in our reported net income in periods of interest rate volatility. Continue to prefer exchanges of our existing Series A preferred units to newly issued Series A1 preferred units to maintain our access to nondilutive fixed rate and low-cost institutional capital. To date, we have successfully exchanged $37 million of our original $94.5 million of Series A preferred units. For $37 million of new Series A1 preferred units to date. This has extended the earliest optional redemption dates on those exchanged units to 2028 and 2029. To date, we have received redemption notices for $30 million of existing Series A preferred units to be redeemed in the second half of 2022. And we are pursuing exchanges for the remaining $27.5 million of Series A preferred units that are nearing their optional redemption dates. In February 2023, we issued $8 million of additional Series A1 preferred units to an existing investor under a separate offering. We continue to pursue additional preferred unit investments under our active offerings for both our Series A1 and Series B preferred units. I will now turn the call over to Ken for his update on market conditions and our investment pipeline.
Ken Rogozinski: Thanks, Jesse. Following up on my comments in February, conditions in the muni market for the first quarter of 2023 were much improved versus 2022. The Bloomberg municipal index posted a total return of 2.8% in the first quarter. The high-yield municipal index generated a similar total return of 2.7% for the quarter. From a market technical perspective, while fund flows were still negative for the quarter, the pace has slowed significantly from 2022. As of yesterday's close, 10-year MMD is at 2.36% and 30-year MMD is at 3.4%, roughly 25 and 20 basis points lower in yield, respectively, than at the time of last quarter's call. With the inversion of the yield curve, 10-year MMD is actually the low point of the current muni yield curve. The 10-year muni-to-treasury ratio was approximately 69% at the lower end of its historic range. Continued volatility in rates with the magnitude of the interest rate increases in the past 12 months, particularly in the short end of the curve and cost inflation have presented challenges to our developer clients on new transactions. The interest cost of construction financing at 30-day SOFR plus 350 basis points now exceeds 8% after the latest Fed hike announced earlier this week. Our affordable housing developer clients are needing to rely more and more on governmental subsidies and other sources of soft money to make their transactions financially feasible. We will continue to work with our clients to deliver the most cost-effective capital possible, especially the use of Freddie Mac Tax-Exempt loan forward commitments in association with our construction lending. Given the multiple of invested capital returns we have realized on the 5 manage sales that have closed over the last 14 months, we will continue to look for other opportunities to deploy capital in this strategy. We believe that getting new projects underway now while other sponsors face significant challenges will put us in a better position for success with our exits 3 or 5 years down the road when new supply may be limited. We are evaluating opportunities to expand beyond our traditional investment footprint in Texas, seeking out other experienced JV partners with track records in other markets where we see opportunities. Our expansion into a new asset class, as demonstrated by our first senior housing investment this quarter will also help us achieve more scale in the joint venture equity investment segment of our portfolio. With that, Jesse and I are happy to take your questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Matthew Erdner with JonesTrading.
Matthew Erdner: Matthew on for Jason. And also for the explanation of the difference between the net income and CAD. If you could, could you please repeat the pay and receive rate as well as your expectation for SOFR going forward? I know it's market-driven, but what are your thoughts on the current Fed futures curve?
Ken Rogozinski: Thanks for your question, Matt. In terms of the numbers we mentioned earlier, if you look at our existing swap portfolio, which has a notional balance of approximately $220 million, we are a fixed payer on those swaps. So we pay a fixed rate that is negotiated at the time of swap execution. The weighted average fixed rate that we pay is 2.59%. And all those swaps, we are a receiver of 1-month CME term sulfur, which after yesterday's Fed action is now at 5.04%. So I think as you think about the future, that the Fed certainly signaled yesterday that there may be a pause in their future rate increase activity over the balance of 2023. Looking at the forward curves, and particularly looking at where treasury bills are today, I think they're in some quarters, is a market expectation that there is the possibility of future rate cuts at some point in time, I'd say, over the next 12 to 18 months. But in terms of the way that we're looking at things, I think for conservative purposes, I think our assumption is probably in line with what most conventional wisdom would be is that the Fed is likely done for the year, but that there probably isn't going to be enough in the way of negative economic data that is going to spur potential rate cuts on a short-term basis for the balance of the year.
Matthew Erdner: Awesome. And then as a follow-up in these different investment lines such as the JV investments, I know you've been in the -- or getting into senior housing recently. What are your expectations for returns there? And will those look similar to what you guys have been achieving on the Vantage side?
Ken Rogozinski: I think from an allocation of capital perspective there, Matt, what we have to operate under is the restrictions of the limitations that we have under our limited partnership agreement. And under that 25 â€“ we can have a maximum of 25% of our overall total assets invested in investments other than traditional mortgage investments. And the JV equity investments fall into that 25% bucket. So since that's a scarce resource from our perspective and as we look to deploy more capital in that investment segment, we're going to have to match up the potential returns associated with the senior housing JV equity investments versus the returns that we can receive on our traditional market rate multifamily, JV equity investments. So since it is a scarce resource, I think our expectation is that, at least as we evaluate alternatives that the senior housing investments are going to have to match the expected returns that we see going forward and that we've historically achieved on the market rate multifamily side.
Operator: Next question comes from Chris Muller with JMP Securities.
Chris Muller: I guess it's nice to see the additional preferred units you guys issued. Can you characterize what type of institutional investor this was? And do you expect to be able to raise additional capital with either this investor or others going forward?
Ken Rogozinski: Sure, Chris. If you think about the business model associated with our preferred equity, the key from the investor's perspective is not only the absolute level of return that is paid on that preferred equity, but the fact that since we are a nonregulated entity that we are able to, under the preferred equity structure, allocate CRA credit to our investors. And so I think historically, the investors that we've seen on the preferred equity side have been commercial banks with CRA needs in the markets where we have significant CRA credit available. So you think about the historic states where we've got large concentrations in our MRB portfolio, Texas, California, South Carolina, banks where those investments match up with their CRA footprint. So I think as we mentioned in the press release at the time, that additional new $8 million of preferred equity that we closed during the first quarter was sold to someone who was an existing CRA preferred investor who actually converted their Series A units to Series A1 units at the same time. So I think that, to us, to have an investor who is familiar with the product, had spent 6 years with us as an original investor rolling over their initial investment and then increasing the size of it, I think spoke well to us in terms of the value proposition that they see on that preferred equity. We always continue to have conversations with our existing investor base and are out there marketing to new investors who either need CRA credit in the markets where we have credit available, either through acquisition or expansion of their existing businesses. I think we're also looking to with the Series B preferred offering the opportunity for these investors to earn up a higher yield given the subordinate nature of that Series B preferred to the Series A and the Series A1 preferred.
Chris Muller: Got it. That's helpful. And then I guess, can you talk about how the pipelines have changed maybe since the second quarter started? And I guess what I'm trying to get at, are you guys competing with the banks very often? And does a pullback from the banks in the lending space present an opportunity for you guys going forward? We certainly think so. We've talked in the past about who our competitors are, and it's largely the direct bank lenders, again, focused on the CRA associated with affordable housing investments as well as other private capital investors who follow a business model similar to us. From what we've been hearing from our clients and from the broader network of the Greystone relationship managers is that just at a -- in terms of a pure appetite for construction lending risk exposure, there is certainly a pullback from the traditional midsized commercial banks on that front. There are increased loan-to-cost restrictions that are being put on their construction loans from an exit strategy perspective, given the higher level of rates that the debt service coverage constrained refinancing test that those lenders are running or having a negative impact on their proceeds levels to sponsors. So I think that is certainly working in our favor in terms of changing the landscape a little bit about what we've got to compete against. I think the other thing that we are seeing is that there are a number of banks who are direct taxes and bond purchasers who historically have been purchasers of 18-year fixed-rate construction perm debt. And I think as we have seen some of the issues with First Republic and Silicon Valley about them holding longer duration fixed income assets on their balance sheet that have been difficult to hedge from their perspective. I think we're seeing some spillover into our niche of the market and seeing less demand and less desire from banks to hold those longer-duration fixed-rate assets on their balance sheet. So I think they're as well that reduction in potential competition there presents some opportunities to us as well.
Operator: [Operator Instructions] Our next question comes from Jade Rahmani with KBW.
Jade Rahmani: Curious as to your thoughts about cap rates and specifically with respect to the affordable multifamily space that you play in. What's the right range of cap rates to think about? Do you feel that this cap rate has reached the point of stability? And could you contextualize perhaps by how much it's moved over the past, say, year?
Ken Rogozinski: A couple of things on that front for you, Jade. I think the first is, as we've said in the past on calls, when we look at the sales price associated with our joint venture equity investments, we really tend not to focus too much on cap rate just because from my perspective, the NOI that you used to calculate a cap rate on any particular sales process weren't really in the eye of the beholder. Are you looking from an income perspective at T12 or T1 or T3? In the case of our Texas assets, are you making adjustment for, say, insurance premiums or the increase in property taxes that you're going to see as a result of the sale being reported to the county tax assessors? So there's a lot of art that goes into the determination of someone's NOI. So we really tend to focus more on the multiple of invested capital as well as the price per unit that we sell our joint venture equity investments at. So in terms of looking at those metrics, certainly when you look at the last 5 assets that we've sold with certainly the high watermark being the Murfreesboro deal that closed in March of 2022, and then the other 2 Vantage San Antonio assets that's sold and then the last 2 assets that sold here in Omaha setting the Murfreesboro deal side as an outlier given the strength of that market at the time that, that sale was executed. The range that we've seen on our price per unit hasn't changed significantly. I think if you average them all together, you're probably something in the $56 million to $58 million neighborhood, and there hasn't been that much of a spread with, I think, the low observation being $53.5 million and the high observation being $62 million. So we've certainly seen a widening of those kinds of pricing assumptions as time has gone on with both market cap rates being higher and with interest cost on acquisition financing for sponsors being higher as well. I think at least given those observations that we've seen from our perspective, we haven't seen at least as of yet, what I would call a significant move in the intrinsic value of the underlying projects. We'll see how things work out on the project that we currently have listed for sale, but at least at this point in time, based on the actual observations that we have for sales over the past year. I think that's our view on things.
Jade Rahmani: What would you say the cost of debt capital is right now in the space, if you could provide an overall range or maybe some characteristics by deal type?
Ken Rogozinski: A couple of things on that front for you, Jade. If you think about the traditional leverage that we put on our mortgage investments, the tax-exempt mortgage revenue bonds and the tax-exempt governmental issuer loans. That's a by and large, floating rate financing where we either have floating rate assets or synthetically fix our funding there through our interest rate swaps. We've seen the short-term tax-exempt index, which is the SIFMA index. We have seen that on a percentage basis, it would stay consistent with its historic norms. There have been the usual weekly observation volatility that we see there, particularly around corporate tax payment dates and the like. But I think the historic ratios that we've seen and that we've utilized in structuring our hedging for those positions, they really haven't strayed too far from their historic norms there. So we haven't seen any, I think, systematic change in the muni versus conventional taxable funding markets there from that perspective. So when you think about our funding costs, the other component is the fees that we pay to our funding providers for credit and liquidity support on our tender option bond facilities and there, both in terms of our advance rates and the prices that we pay for those credit and liquidity support facilities, and that's been pretty consistent as well. So I haven't seen a significant widening of costs there either.
Jade Rahmani: And I think the last question was about opportunity set increasing as a result of what's going on with the bank sector. But what knock-on implications or risks do you see from what's playing out? Do you think that there would be potentially reduced liquidity in the affordable housing space?
Ken Rogozinski: I think, Jade, again, viewing it from our perspective, in terms of our opportunity set, uncertainty like this really presents opportunities. I think we talked about that a little bit last quarter with the 4 MRBs that we closed in December and January on the acquisitions by the nonprofits of the 4 projects in South Carolina because at the time that they needed to close on their acquisitions of the properties, not so much the commercial bank space, but the muni-bond market wouldn't facilitate them being able to get their deals done. So that's an example of that uncertainty in the market presenting opportunities to us. I do expect going forward that, as I said, with what I see as potential lower demand from commercial banks to do that longer tenor construction-permanent financing on affordable housing projects as well as the reduction in appetite for construction risk even on affordable housing transactions that, that's going to present more opportunities for us as well. So I think that we're trying to be conscious of that, work with our sponsors that we know may be having issues like that with their existing traditional lender relationships and try to be there to be supportive of our existing clients when we can as they have new deals in the pipeline.
Operator: [Operator Instructions] Our next question comes from John Bon [ph] Private Investor.
Unidentified Analyst: I've been a unitholder since 2010 have been very impressed with the results. But I have to tell you, I'm looking at the P&L right now, and I see the interest expense going from roughly $4 million to $18 million or a roughly increase of $14 million right there. Was this a surprise to you guys? And could this have been better hedged? And what do you see going forward with respect to that interest expense line?
Jesse Coury: Two observations there. One being just the general increase in the size of our portfolio has increased our interest expense. So you'll see some lockstep rise in interest income or investment income on the face of the income statement in line with interest expense. But I believe one of the bigger drivers is the noncash mark-to-market on our interest rate swaps, which Ken and I referenced in the call, was a $3.4 million increase to interest expense during the quarter. And that no cash impact to us, but it's truly just the mark-to-market change in the value of the swaps. The third component of that was there is some increase in interest expense for the unhedged portion of our portfolio, which we've made strides to limit during 2022 and early 2023. But during that initial interest rate rise during 2022, we did incur some additional interest expense.
Ken Rogozinski: But John, what I'd also point you to is the interest rate sensitivity analysis that Jesse referenced earlier that is reported in the 10-Q in terms of looking at what we think is a pretty conservative assumption in terms of rates up by 200 basis point scenario with no corresponding action on our part. And the net effect of that on our overall net interest income is under $1 million. So we feel pretty good about where the current hedging of the portfolio is and our ability to withstand what we think will be based on, what we're hearing from the Fed as of yesterday in terms of the potential future course of rates, at least on the short part of the group.
Unidentified Analyst: Yes. I would guess that the worst of this short-term interest rate boost is over and without constraining you guys or the directors, the difference between the CAD of $0.81 and net income per buck of $0.60, usually, we're maybe looking at some sort of supplemental on this, the fact of a non-supplemental announcement, does that mean you guys are still cautious going forward until the short-term rates start to stabilize right here? Go ahead.
Ken Rogozinski: John, what I'd say there, and again, I think this is consistent with what we've said in the past is that from a management perspective, both we and the Board tend not to look at things on a quarterly basis, but more on an annual basis. Given the lumpiness in our net income and our CAD that we see, particularly in quarters where we have capital gains from JV equity project sales. We tend not to try to match distributions up on a quarterly basis to income. I think our perspective is that longer term, we're better looking at things on an annual year-over-year basis, particularly since income is reported to the unitholders on an annual basis through the K-1. So it's certainly a good start to the year to have those levels of net income and CAD for the first quarter. But I think as we discussed the balance of the year with the Board, we'll be taking a look at actual results and what our budgets and projections are for the balance of the year and work with the Board in terms of coming to determinations about what potential distributions might be in the future.
Operator: [Operator Instructions] There are no further questions at this time. I would like to turn the floor back over to Ken Rogozinski, CEO, for closing comments.
Ken Rogozinski: Thank you very much, everyone, for joining us today. We look forward to speaking with you again next quarter.
Operator: This concludes today's teleconference call. You may disconnect your lines at this time, and thank you for your participation.